Operator: Good morning, ladies and gentlemen, and welcome to the Fulton Financial Fourth Quarter Results Conference Call. This call is being recorded. I will now turn the call over to Jason Weber. Please go ahead, sir.
Jason Weber: Thanks, Kevin. Good morning. Thanks for joining us for Fulton Financial’s conference call and webcast to discuss our earnings for 2017. Your host for today’s conference call is Phil Wenger, Chairman, President and Chief Executive Officer of Fulton Financial Corporation. Joining Phil Wenger is Phil Rohrbaugh, Senior Executive Vice President, Chief Operating Officer and Interim Chief Financial Officer. Our comments today will refer to the financial information and related slide presentation included with our earnings announcement, which we released at 4:30 PM yesterday afternoon. These documents can be found on our website at fult.com by clicking on Investor Relations, then on News. The slides can also be found under the – on the Presentations page under Investor Relations on the website. On this call, representatives of Fulton may make forward-looking statements with respect to Fulton’s financial condition, results of operations and business. These statements are not guarantees of future performance and are subject to risks, uncertainties, and other factors, and actual results could differ materially. Please refer to the Safe Harbor statement on forward-looking statements in our earnings release and on Slide 2 of today’s presentation for additional information regarding these risks, uncertainties and other factors. Fulton undertakes no obligation, other than as required by law, to update or revise any forward-looking statements. In discussing Fulton’s performance, representatives of Fulton may refer to certain non-GAAP financial measures. Please refer to the supplemental financial information included with Fulton’s earnings announcement released yesterday in Slides 13, 14 and 15 of today’s presentation for a reconciliation of those non-GAAP financial measures to the most comparable GAAP measures. Now, I would like to turn the call over to your host, Phil Wenger.
Philip Wenger: Thanks, Jason, and good morning, everyone, and thank you for joining us. I have a few prepared remarks before our Interim CFO, Phil Rohrbaugh, shares the details of our financial performance. When he concludes, I will review our 2018 outlook and then open the phone line for questions. Excluding the impact of the tax charge, we reported diluted per share earnings of $1.07 for 2017, an increase of 15% year-over-year. Pre-provision net revenue increased approximately $41 million, or 18.7% year-over-year. Excluding the impact of the tax charge, our return on assets was 0.96% and our return on tangible equity was 11.27% for the year. 2017 was another solid year for our company as we hit record levels in revenue and net income, excluding the impact of the tax charge. Our financial results in 2017 reflected the continued progress in executing our growth strategies and the benefit of multiple interest rate increases by the federal reserve. We generated meaningful positive operating leverage, a goal that we set out at the beginning of the year. Our average loan portfolio increased 7.8% year-over-year, which was in line with our 2017 outlook and was driven by growth in most of our loan portfolios. Our average residential mortgage portfolio increased 21.5% year-over-year. Growth was concentrated in our Maryland and Virginia markets. Although we anticipate meaningful growth in our overall residential mortgage portfolio in 2018, we do not expect the ending balances in that portfolio to grow at the rate we saw in 2017, as we plan on selling more production into the secondary market. Our average commercial mortgage portfolio increased 9.3% year-over-year and growth was spread throughout our footprint, but primarily in our Pennsylvania market. As we have mentioned in prior quarters, our owner occupied commercial mortgages represent close to half of the overall commercial mortgage portfolio and we remain well within the regulatory guidance on concentrations in commercial real estate lending. Our average C&I loan portfolio increased 3.8% year-over-year. Growth was spread across a broad range of industries and concentrated in our core Pennsylvania market. Line borrowings increased approximately $62 million during this period, contributing to growth in the portfolio. Our commercial leasing portfolio continues to be a nice growth story. Our average commercial leasing portfolio increased 28.4% year-over-year to $245 million. Our pipeline remains at a level that we believe will allow us to produce mid single-digit loan growth in 2018, which is reflected in our outlook. We were pleased with our deposit growth for 2017. Average deposits increased 6.1% year-over-year, which was in line with our 2017 outlook. More importantly, average demand and savings deposits increased approximately 8.1%, while our average time deposits decreased 3.7% year-over-year. The growth in demand and savings deposits was driven primarily by our consumer business. Excuse me. Our loan to deposit ratio ended the year at approximately 99.8% comfortably within our historical operating range. Turning to credit, overall asset quality continues to be stable and delinquencies and net charge-offs continues to be at historically low levels. Turning to non-interest income, excluding the litigation settlement and security gains, non-interest income increased by 3.3% year-over-year and was outside our revised 2017 outlook that we gave in the third quarter. Mortgage banking was a big driver of our lower than expected growth in non-interest income. While mortgage originations increased 9% year-over-year, 2017 saw a shift in production with 50% of all our originations going into the portfolio versus being sold. The shift was much more than we anticipated. And while the growth in the portfolio contributed to an increase in net interest income, the shift had a negative impact to gain on sale income year-over-year. Investment management and trust income grew at a strong pace year-over-year, due primarily to both overall market performance and our continued asset gathering focus. Brokerage revenue grew 12.1% year-over-year and continues to be one of our fastest growing segments within investment management and trust. In the commercial area, our commercial loan interest rate swap, treasury services and SBA businesses, all made notable contributions. Our commercial loan interest rate swap business continued to benefit from growth in commercial originations, while our treasury services, which include merchant services, foreign exchange and cash management benefited from improved business activity and solid sales production. SBA income has grown meaningfully since our substantial investment into the business in 2016. SBA income was $3.5 million in 2017 compared to $3.4 million in 2016. We saw notable increases in debit and credit card income reflecting continued growth in new accounts and customer usage. Non-interest expenses increased 7.4% year-over-year and was outside our 2017 outlook. Our original outlook did not include the amortization of certain tax credit investments. Excluding this item and the technology initiative write-off, our non-interest expenses increased 4.4% year-over-year, which was in line with our 2017 outlook. It did make an improvement in the efficiency ratio year-over-year. The efficiency ratio for 2017 was 64.5% within our goal of 60% to 65%. In 2018, we will continue to invest in upgrading our systems and optimizing our customer delivery channels, while preparing for charter consolidation. In addition, we plan on sharing some of the benefits from the new tax legislation with our employees and increasing our investment in communities we serve through our Fulton Forward initiative. Expense management is a top priority and we continually look for ways to make our organization more efficient, while continuing to invest in our company to support a larger organization that can benefit from economies of scale. Strategically, the deployment of capital from the enhancement of long-term shareholder value remains one of our highest priorities. In 2017, we increased our quarterly common dividend by $0.01 to $0.11 per share and paid a $0.03 special dividend in the fourth quarter. We did not repurchase any common stock during the year, but have approximately $31.5 million left in our current share repurchase program authorization That was recently extended through December 31 of 2018. Turning to regulatory matters. During the fourth quarter of 2017, the BSA/AML consent orders issued to three of our subsidiary banks were terminated. And we’re working diligently to achieve a similar resolution with respect to the remaining BSA/AML consent orders. With respect to the Department of Justice’s ongoing fair lending investigation, we have continued to cooperate with that investigation and have nothing new to report. Before I turn the call over to Phil Rohrbaugh, I wanted to make a few comments about the management changes we announced in October. Phil Rohrbaugh announced that he plans to retire in March of 2018 concluding an over five-year tenure at Fulton. Phil has been a key member of our executive leadership team and was very instrumental in leading the transformation of our risk management area, improving operational efficiencies and driving the company’s strategic plan. On behalf of the Board of Directors, I want to thank him for his contributions and wish him the best in retirement. Phil will be transitioning his CFO duties to Mark McCollom. Mark joined the company in November and brings over 30 years of financial services experience most notably as CFO of a large regional bank. We look forward to leveraging his knowledge and skills to continue to grow our company. And now, I’d like to turn the call over to Phil Rohrbaugh to discuss our financial results in more detail. Phil?
Philmer Rohrbaugh: Thank you, Phil, and good morning to everyone on the call. Unless I note otherwise, quarterly comparisons are with the third quarter of 2017 and annual comparisons are with 2016. Starting on Slide 6, earnings per diluted share this quarter are $0.19 on net income of $34 million. Fourth quarter’s earnings were adversely impacted by the new federal tax legislation requiring a tax charge, which resulted in a $15.6 million charge to income tax expense in the quarter. Excluding this charge, earnings per share would have been $0.28 on net income of $49.7 million. Fourth quarter earnings reflected an increase in net interest income and non-interest income offset by increases in the provision for credit losses, non-interest expense and income taxes. Moving to Slide 7, our net interest income in the fourth quarter improved by $2.6 million, or 2%, driven by a 2 basis point increase in the net interest margin and a $207 million, or 1% increase in average interest-earning assets. Average yields on interest-earning assets increased 3 basis points, with loan yields increasing 2 basis points. The improvements in loan yields was aided by increases in net non-accrual interest income recoveries and loan fees. In addition, there was another federal funds rate increase in December. Partially offsetting the increase was the cost of interest bearing deposits increasing 2 basis points, primarily due to promotional campaigns and higher average index deposit balances impacted by interest rate increases. There was a seasonal decline in the index deposit balances at the end of the year. The 2 basis point increase in the net interest margin for the last quarter was within the range we provided in our updated outlook during the third quarter of 2017. Average interest bearing deposits were up linked quarter by $222 million, or 2%. The increase was seen in money market deposits related to municipal and personal accounts due to seasonality and promotional efforts respectively. For the year, net interest income increased $55 million, or 10.5% from 2016, driven by a 7% increase in average interest-earning assets and a 10 basis point increase in the net interest margin. Yields on earning assets increased 13 basis points, while our cost of funds increased only 3 basis points. The increase in interest-earning asset yields was realized mainly in loans with solid 12 basis point increase. The increase in the cost of fund was driven mainly by deposits. Turning to credit on Slide 8, in 2017, the provision for credit losses increased $10.1 million from 2016, driven largely by loan growth as credit metrics were generally stable. For the fourth quarter of 2017, the provision for credit losses increased $1.7 million in comparison to the third quarter of 2017. The total provision was $6.7 million for the quarter. Net charge-offs for the year as a percentage of average loans were 12 basis points compared to 9 basis points in 2016. For the quarter, net charge-offs on an annualized basis remained unchanged at 14 basis points. Non-performing loans at December 31, 2017 showed a slight $3.1 million, or 2% increase in comparison to 2016. Non-performing loans as a percentage of total loans improved to $0.85%, as compared to [Technical Difficulty]
Operator: Ladies and gentlemen, please standby, your conference call will resume momentarily. Once again, ladies and gentlemen, please stay on the line.
Philmer Rohrbaugh: Thanks, everyone, for your patience.
Operator: You’re live.
Philmer Rohrbaugh: Okay. Thank you, everyone, for your patience. We had a telecommunication interruption here that impacted the Lancaster area. I was beginning to talk about Slide 9 and non-interest income. So moving to that Slide 9, non-interest income, excluding securities gains increased $7.6 million, or 16% in comparison to the third quarter of 2017. The increase was primarily driven by a $5.1 million net gain recognized in the fourth quarter upon the settlement of the litigation matter. Excluding this item, non-interest income increased $2.5 million, or 5.3%, driven by various key categories. The largest increase was in other service charges and fees of $1.6 million, or 12.9%, driven by higher commercial loan interest rate swap fees and debit card income. Investment management and trust services income increased $1 million, or 8.2%, with the increase generally equally split between brokerage fees and trust commissions. Also contributing to the increase in non-interest income were higher gains from the sales of SBA loans. Slightly offsetting these increases was a seasonal decline in mortgage banking income. Moving to Slide 10, non-interest expenses increased $6.3 million, or 4.8% in the fourth quarter. We had one unusual item in the quarter, a $3.4 million write-off of certain accumulated capital expenditures related to in-process technology initiatives in our commercial banking business. During the fourth quarter of 2017, we made a strategic decision to shift to an alternative technology solution. Other increases were realized in other outside services, largely due to consulting cost incurred for the commercial banking initiatives and FDIC insurance expense due to the impact of our lead bank becoming subject to the large bank premium requirements. Other real estate owned expense, which is a component of other expense also increased $940,000, mainly as a result of the timing of sales of foreclosed properties resulting in lower net gains during the quarter. Income tax expense increased $14.5 million linked quarter and $16.1 million year-over-year due to the tax charge of $15.6 million. Excluding this charge, the effective tax rate was 18.9% for the fourth quarter, as compared to 20.5% in the third quarter. The decrease resulted primarily from lower state income taxes. For the year, excluding the tax charge, the effective tax rate was 20.1%, as compared to 22.4% in 2016. Slide 11 displays our profitability and capital levels over the past four years. We continue to see increases in both return on average assets and returns on tangible equity over the periods presented despite the impact of new tax legislation at the end of 2017. At this point, I’d like to turn the call back to Phil Wenger, who will review our 2018 outlook shown on Slide 12.
Philip Wenger: Thank you, Phil. We expect average annual loan and core deposit growth rates in the mid single digits. We expect loan loss provision to be driven primarily by loan growth. We expect the growth rate for non-interest income, excluding security gains and the litigation settlement in 2017 to be in the low single digits. And we expect the growth rate for non-interest expenses, including the amortization of tax credit investments to be in the low single digits. We will manage our capital and support loan growth and provide appropriate returns to our shareholders. As we have mentioned in the past, we target an annual dividend payout ratio between 40% and 50%. As a result of the impact of the lower corporate income tax rate on primarily, the tax rate loan portfolio, net interest margin in the first quarter of 2018 is expected to decline 1 to 5 basis points. However, for the full-year 2018, the outlook for net interest margin is an increase of 2 to 7 basis points as we’re expecting two additional interest rate increases this year. Finally, we anticipate an effective tax rate between 11% and 16% depending on the level of tax credits realized. Thank you for your attention, for your continued interest in Fulton Financial Corporation. And now, we will be glad to answer your questions.
Operator: [Operator Instructions] Our first question comes from Chris McGratty with KBW.
Chris McGratty: Good morning, everybody.
Philip Wenger: Good morning, Chris.
Chris McGratty: Maybe a quick question on the guidance just for clarification. The expense guide, what is assumed in terms of tax credits to get to the 11% to 16% tax rate, like what’s the number of expenses?
Philmer Rohrbaugh: Well, from the perspective, the effective tax rate in terms of the range we provided from the 11% to 16%. Our expectation is to be at the lower-end of that effective tax rate range. However, that’s going to be influenced by a number of factors, including the mix of the type of tax credits that we experienced. As you recall, new markets tax credits versus low income housing tax credits have a different geography and different impact that flows through the effective tax rate. And – but our expectation is target – and what we have targeted, we expect to be at the lower-end of that range.
Chris McGratty: Okay. Just so I’m clear, the 11% -- the low-end of 11% to 16%, does that correspond to like a $14 million am expense for the year, like similar to the last couple of quarters?
Philmer Rohrbaugh: So if you’re talking about above the line investment tax credit amortization expense…
Chris McGratty: Yes.
Philmer Rohrbaugh: Our expectation there is, that will be below the 2017 level, slightly less than half of that level.
Chris McGratty: And that level was $11 million just so I’m [Multiple Speakers]…
Philmer Rohrbaugh: That’s correct.
Chris McGratty: So less than half of $11 million? Okay, got it.
Philmer Rohrbaugh: Correct.
Chris McGratty: Thank you for that. In terms of the balance sheet, your loan to deposit ratio is around 100%. I think, you’ve commented that it was within the long-term expectations for the company. How should we be thinking about the securities portfolio, given the move in rates, the move in tax rates? Is that a source of funding for the mid single-digit loan growth, or do you expect loan and deposit growth in terms of dollars kind of to be one for one? Thank you.
Philmer Rohrbaugh: Yes. We’re still expecting to have a fairly strong deposit growth in 2018 as we did in 2017. And our focus on core deposits is where we expect that funding to come from to support our loan growth.
Chris McGratty: Okay. So not a lot of change in the securities book if I’m hearing you?
Philmer Rohrbaugh: Not other than what we’ve already accomplished in certain restructuring that we’ve done.
Chris McGratty: Got it. Okay, thank you.
Operator: Our next question comes from Brian Zabora with Hovde Group.
Brian Zabora: Thanks. Good morning.
Philip Wenger: Good morning.
Philmer Rohrbaugh: Good morning.
Brian Zabora: A question on the mortgage production, you mentioned that in your prepared remarks that about 50-50 was split between portfolio and sales. And you said that may change going forward or less portfolioing. What is – can we – can you talk about maybe what drives that decision? And does the loan deposit ratio play a factor into that?
Philip Wenger: That – I don’t know, maybe it was necessarily a decision, but we’ve been able to find outlets for some of our jumbo production and/or and for our CRA production.
Brian Zabora: Okay. So and just overall how do you think about the mortgage market with maybe higher rates? Do you think overall production may be down in 2018?
Philip Wenger: We’re expecting similar production with a slight increase. We do expect margins perhaps to tighten a little.
Brian Zabora: Okay. All right. And then just last question on the tax rate. Do you have – you provided the effective guidance. Do you have that on an FTE basis, what you think that may be as well?
Philmer Rohrbaugh: Are you saying what? Could you repeat that one more time?
Brian Zabora: I’m sorry, the fully taxable – instead of just the effective tax rate, do you have it what might be on the fully taxable equivalent tax rate?
Philmer Rohrbaugh: Yes. We probably should take that offline just to discuss your question in a little bit more detail?
Brian Zabora: Okay.
Philmer Rohrbaugh: If you’re talking about, how do you – how does it flow through and affect, for example, tax equivalent net interest margin or something like that…
Brian Zabora: Well, I guess, that was – we’ve got to kind of look at on a fully taxable equivalent, taking into consideration the – mid-year income and then a higher tax rate to take into consideration. But yes, we can talk offline, that’s probably maybe best.
Philmer Rohrbaugh: Okay.
Operator: The next question comes from Brody Preston with Piper Jaffray.
Brody Preston: Good morning, guys. How are you?
Philip Wenger: Good morning.
Philmer Rohrbaugh: Good morning.
Brody Preston: Just touching on fee income for a minute. I know, you said brokered services really drove some of the investment management side. But I just wanted to sort of run through what you are seeing there moving forward and whether or not you think sort of the 9% growth you saw in that overall line item is repeatable through strategy, or if it’s more dependent on the direction of the market?
Philip Wenger: So our increase this year in investment management trust between 60% and 65% of that increase was generated by new business, and then the balance was generated by increase in the market.
Brody Preston: Okay, okay.
Philmer Rohrbaugh: Okay. Yes, just to add to that, I do want to indicate that the assets under management for the full-year increased about $900 million in the trust business.
Brody Preston: Okay, great. All right, what else? On loan growth, I just wanted to touch real quick, it seems like it occurred late in the quarter just judging by the average balance sheet, is that accurate?
Philip Wenger: That is accurate, yes.
Brody Preston: Okay.
Philip Wenger: And I would say that a portion of that loan growth, I think, was driven by the new tax law and the desire for companies to expense as much as they could in 2017.
Brody Preston: Okay. And I guess, what makes you say that? Is it just the segments of growth, or is it the pipeline?
Philip Wenger: A piece of that, a larger piece than normal was from increase in line balances.
Brody Preston: Okay. And what was that increase for the quarter?
Philip Wenger: $65 million.
Brody Preston: Okay. And what are utilization rates?
Philip Wenger: $65 million doesn’t impact the utilization rates much. So it really is not a whole lot different than what it’s been in the past. From the top of my head 43% to 44%.
Brody Preston: All right. And I guess, maybe just one last question on the pipeline?
Philip Wenger: Go ahead.
Brody Preston: Can you sort of give some more clarity on to which segments are driving the pipeline at this point?
Philip Wenger: Yes. So our pipeline going into 2018 was at the same level than it was at the end of the third quarter, but it would be 15% lower than it was year-over-year.
Brody Preston: Okay. And then is the pipeline made up more of C&I versus CRE versus resi at this point?
Philip Wenger: Well, C&I and CRE would be the largest part of that.
Brody Preston: Okay. And with the yield curve backing up, are you guys seeing any move in yield in certain asset classes being passed through?
Philip Wenger: Well, on the loan side I would say not yet, a slight increase on the investment side.
Brody Preston: Okay. All right. And then one last question from me. Can you just remind us of the costs involved with the consent orders and the DOJ investigation?
Philip Wenger: Well, I think that we’ve detailed the cost that that we’ve had in regards to BSA/AML. And our run rate in that area is about $6.6 million, and then our outside services running about $4 million.
Brody Preston: Okay, great. Thank you very much, guys.
Philip Wenger: Sure.
Operator: And I’m not showing any further questions at this time. I’d like to turn the call back over to Phil Wenger.
Philip Wenger: Thank you, everyone, for joining us today. I apologize for the interruption in communication. But we hope, you will all be able to be with us when we discuss first quarter results in April. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect, and have a wonderful day.